Operator: Greetings, and welcome to the Electrovaya’s Conference Call to discuss the financial results for the first quarter. [Operator Instructions]. As a reminder, this conference is being recorded. I’d now like to turn the conference over to Richard Halka. Richard, you may now begin.
Richard Halka: Thank you, operator. Good morning, everyone, and thank you for joining us on today’s conference call to discuss Electrovaya’s Fiscal 2019 First Quarter Financial Results. Today’s call is being hosted by Dr. Raj Das Gupta, Vice President of Business Development at Electrovaya; and myself, Richard Halka, Executive Vice President and CFO. Dr. Sankar Das Gupta, our CEO, is traveling and is unfortunately not available this morning. We look forward to having him back on the next call. Yesterday, Electrovaya issued a press release concerning its business highlights and financial results for the three months ended December 31, 2018. If you would like a copy of the release, you can access it on our website. If you want to view our financial statements and management’s discussion and analysis, you can access those documents on the SEDAR website at www.sedar.com. As with previous calls, our comments today are subject to the normal provisions related to forward-looking information. We will provide information relating to our current views regarding trends in our markets, including their size and potential for growth and our competitive position in our target markets. Although we believe that expectations reflected in such forward-looking statements are reasonable. Such statements involve risks and uncertainties, and actual results may differ materially from those expressed or implied in such statements. Additionally, information about factors that could cause actual results to differ materially from expectations, and about material factors or assumptions applied in making forward-looking statements, may be found in the company’s press release announced in the Q1 2019 results and the most recent annual information form and management’s discussion and analysis under risk and uncertainties as well in other public disclosure documents filed with Canadian securities regulatory authorities. Also, please note that the numbers discussed on this call are in U.S. dollars unless otherwise noted. And now let me turn the call over to Raj.
Raj Das Gupta: Thank you Richard and good morning everyone. Thank you for joining us early today for our Q1 2019 financial results conference call. The quarterly results were reported yesterday demonstrate the strong positive momentum of our business. We had revenue of $2.0 million, a substantial increase from $1.2 million in Q4 fiscal 2018, and $0.4 million in the quarter prior to that. That is obviously strong growth over a short period of time. Revenue also increased 164% from $0.7 million in Q1 last year. We are seeing strong demand from customers in the material handling electric vehicle space as our products continue to gain traction. The feedback that we are receiving from electric forklift operators is very positive, and we are pleased to be getting repeat orders from several customers looking to replace more of their lead acid batteries with their superior lithium ion products. Other potential customers continue to undergoing testing, and we are getting good feedback from them as well. As we noted in our Q1 news release, we have now delivered batteries to commercial operations at 18 customer sites in the United States and Canada. These are primarily large companies, including Fortune 500 firms. In addition to the replacement batteries, we’re all focused – we’re also focused on placing batteries in new electric vehicle builds. We are pleased to have established a strong relationship with a leading MHEV manufacturer. During Q1, we achieved our first delivery through this firm’s sales channels. We continue to work with other large North American OEMs, and we are optimistic that this will lead to strong -- to further sales growth in the future. We are maintaining strong relationships with these firms. We are also capitalizing on opportunities with automated-guided vehicles. During Q1, we continue to make deliveries to an AGV manufacturer that is achieving major commercial interests for its vehicle. Our products are ideally suited to power new AGVs, and this OEMs is a strong supporter of Electrovaya. In addition, we signed a contract in -- during Q1 with Sustainable Development Technology Canada, worth CAD $3.8 million to develop batteries for electric buses and commercial vehicles. We believe there is a major long-term opportunity in the bus market, and we are pleased to be working with two major bus manufacturers on this project. It is important to note that we are currently working on additional configurations of our battery products. As the market evolves and we learn more about our customers’ needs, we are identifying opportunities to target a greater portion of the market. Accordingly, we are working on new configurations that we believe will have substantial built-in demand. Overall, we think that we are in a strong competitive position. Our product offerings are exceptional; the combination of superior cycle life, safety, energy and power makes our batteries ideal for MHEB and AGV with mission-critical intensive use applications. We have a great team that is continuing to work hard on R&D and on upgrading our product offerings. Demand for our batteries is rising, and we expect to see further momentum through the remainder of fiscal 2019. And following our recent debt payments and cost reductions, we have strengthened our balance sheet and are in a much better position to capitalize on rising demand and build value for our shareholders. I’ll now turn the call over to Richard to review our fiscal first quarter results in greater. Richard?
Richard Halka: Thank you, Raj. Revenue for the three months ended December 31, 2018, was approximately $2 million, an increase of 164% from a $700,000 in the same quarter last year. This is in line with the guidance we provided when we reported our fourth quarter earnings on December 12. The higher revenue in Q1 2019 reflects increased order and delivery volumes, including follow-up orders from repeat customers. As we noted in our Q1 release -- news release yesterday, our sequential revenue growth has been strong over the past three quarters, rising from $400,000 in Q3 2018 to $1.2 million in Q4 2018 and now $2 million in Q1 2019. Gross profit was $700,000 or 37% of revenue compared to $300,000 and 30% of -- 37% of revenue for Q1 last year. Net earnings from continued operations were $2.8 million compared to a loss of $2.7 million from continued operations last year. The net profit was primarily attributable to a gain of $4.2 million on the sale of land and buildings. Other factors that positively impacted net earnings included higher revenue, lower G&A cost, lower stock-based compensation cost, lower amortization, lower financing and increased foreign exchange gain and interest income. These factors were partially offset by direct manufacturing cost, higher R&D cost, increased sales and marketing expenses and increased patent and trademark expenses. Turning to our balance sheet, we had $400,000 of cash and equivalents at December 31, 2018, that compares to $100,000 as at September 30, 2018, which was the end of our fiscal year. We had an additional $1 million of restricted cash at the end of fiscal 2018 that we subsequently used to repay debt. We used $500,000 of cash in operating activities during this first quarter. A key event during Q1 2019 was the completion of the sale and leaseback of our headquarters in Mississauga on October 23. This transaction generated net proceeds to Electrovaya of CAD $20.2 million. We applied CAD $16.9 million to debt reduction, and designated the remaining $3.3 million for working capital -- CAD $3.3 million for working capital purposes. This has resulted in significantly stronger balance sheet, lower finance and overhead costs, which provides us with greater flexibility moving forward. Inventory was $1.1 million as at December 31, 2018 compared to $1.8 million at September 30, 2018. The decreased inventory is due to fulfillment of purchase orders. We noted in our Q1 MD&A that management is confident Electrovaya has or has access to adequate resources, including private placement of equity, operating cash flows to continue operations for the foreseeable future. I’d now like to turn the call back to Raj to wrap up.
Raj Das Gupta: Thank you, Richard. The electric forklift market opportunity is very large and is posed to grow significantly. The latest statistics that we have seen indicate the addressable market for our products is very substantial with an installed base of about 1.5 million electric trucks and 140,000 new trucks sold in the Americas annually. It has taken time for producers and operators of MHEVs and AGVs to fully understand the superior performance provided by lithium ion batteries. But we are now seeing a city migration to Lithium Ion by large global companies, including some of the largest Fortune 500 companies. This trend is not going to reverse. The companies that have transitioned to Lithium Ion are seeing substantial benefits. Other companies are continuing their testing and are very impressed with the results. We expect continued strong demand growth for lithium ion batteries for MHEV and AGV manufactures and from the vehicle operators looking to replace lead acid batteries. We are working hard to get Electrovaya to a point of sustained profitability. Revenue growth has been very impressive over the last couple of quarters, and we are pleased to be generating a solid gross margin. As Richard noted, following the sale of our building, we have reduced our debt load significantly and lowered our overhead and finance costs. We’re a much leaner company than we were at the start of 2018. As we generate new orders in the months ahead, we believe that we are now positioned to generate significant value to -- for our shareholders. We know the last 12 months have been very frustrating for investors and we appreciate your patience. We -- but we think the Q1 performance is evidence that we are on the right track and that our positive gross will continue through fiscal 2019 and beyond. That concludes our remarks this morning. Richard and I would be now pleased to answer any questions you may have. Thank you.
Operator:
Raj Das Gupta: Yes. That concludes our call. Thank you for listening in this morning and for your continued interest in Electrovaya.
Operator: Thank you, doctor. This does conclude today’s conference. You may disconnect your lines at this time. Thank you for your participation.